Operator: Greetings and welcome to Celanese Corporation Third Quarter 2020 Call and Webcast. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host Brandon Ayache, Senior Director Investor Relations. Thank you. You may begin.
Brandon Ayache: Thank you, Doug. Welcome to the Celanese Corporation third quarter 2020 earnings conference call. My name is Brandon Ayache, Senior Director of Investor Relations. With me today on the call are Lori Ryerkerk, Chairman of the Board and Chief Executive Officer; and Scott Richardson, Chief Financial Officer. Celanese Corporation distributed its third quarter earnings release via Business Wire and posted prepared comments about the quarter on our Investor Relations website yesterday afternoon. As a reminder, we will discuss non-GAAP financial measures today. You can find definitions of these measures as well as reconciliations to the comparable GAAP measures on our website. Today's presentation will also include forward-looking statements. Please review the cautionary language regarding forward-looking statements which can be found at the end of the press release as well as prepared comments. Form 8-K reports containing all these materials have also been submitted to the SEC. Because we have published our prepared comments yesterday, we'll now open the line directly for your questions. Doug please go ahead and open the line for questions.
Operator: Thank you. Ladies and gentlemen, at this time, we will be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of John Roberts with UBS. Please proceed with your question.
John. Roberts: Thank you. I would have thought that a lot of plastics inventory would have been left in the supply chain when the auto plants and other manufacturers shut down earlier in the year. So, I would have thought that Celanese would have lagged the recovery of the customers, but it seems like you've been pretty coincident. Maybe you could comment a little bit on timing issue.
Lori Ryerkerk: Yes, thanks for the question John. I think what is clear to us as we were saying throughout 2019; we were seeing a lot of destocking in the auto chain. And so we went into 2020 with much lower inventories in our estimation than is typical in the entirety of that chain. And as we went through the first quarter auto was still running well certainly in the Western Hemisphere. And so we really have not seen any buildup during the time we were down and we've seen really steady demand consistent with or even actually a bit better than you've seen auto builds recover. So, I think what's different this time than maybe in past recessions or past downturn is just the fact that we had gone through a pretty significant period of destocking already in 2019.
John. Roberts: And then could you provide a little more granularity in your comment about rising raw materials? And is that causing you to activate your network any differently?
Lori Ryerkerk: Yes. So, the real impact in third quarter from rising raw material was ethylene pricing. So, we really saw ethylene pricing up throughout the entirety of the third quarter really in all regions of the world. I wouldn't say it's had a real difference in terms of our acetyl chain in terms of our activation. We really haven't seen that pass through to our Engineered Materials. It's not been an impact there really being a long supply chain in EM. But we did see the impact as you noted from our comments in the third quarter especially in acetyls. It really -- we also saw some increases in methanol and CO at the end of the quarter. And some of those increases we weren't able to pass through in pricing in third quarter, but would expect to be able to mitigate in fourth quarter.
John. Roberts: Thank you.
Operator: Our next question comes from the line of Bob Koort with Goldman Sachs. Please proceed with your question.
Bob Koort: Thank you. Good morning.
Lori Ryerkerk: Good morning.
Bob Koort: Lori I think not too long ago you stopped talking about discrete project wins in EM. I'm just wondering if you could give us some sense of what you might expect as we look into 2021 versus 2020, will it be sort of a bit parity? Could it be better? Is there a chance it could be actually lower? How do you see those new project applications developing?
Lori Ryerkerk: Yes. So, we really stopped talking a lot about project wins just recognizing that not all projects are created equal. And just because we had a lot of wins doesn't mean we were necessarily creating more value. But it is something we still try. I would tell you in the third quarter, we were well on target with the number of wins that we expected to have as well as with the margin expectations from those projects. So, as we go into 2021 I actually continue to expect to see the number of project wins going up. We've managed to build a lot in the pipeline do some really good work by our commercial teams working virtually and using new formats for us like webinars and that sort of thing. And so we're seeing the number of projects actually continue to go up as well as the value of projects continuing to build pretty significantly. I mean maybe just a few examples of wins we've had during COVID and more recently. So, as a result of one of our webinars we recently did one on electric vehicle batteries. We had over 200 customers a lot have attended that series of webinars across the region. And as a result of all the work being done during COVID, we've also had some really good placements so not just EVs which are booming, but also we've had a big contract for LCT into one of the leading electronics manufacturers which goes into smartphones and tablets and headphones. So our commercial folks are doing a great job continuing to find those areas of growth, continuing to find those areas where our unique technologies can really be applied at meaningful margins. And we -- it feels very good for us going into 2021 with some of the wins we've had this year and have teed up for next year.
Bob Koort: And can I ask you -- you started doing your share repurchase before the proceeds came in. Was that just a function of expecting the world to heal and so it was a good time to start buying? And then do you have a pretty short list of ways, Scott can spend that money on M&A next year? Or is it still somewhat of a murky environment?
Lori Ryerkerk: Yes. So I think in terms of share repurchases yes, we did start prior to the actual close because obviously we could see the close was in sight. So we wanted to go ahead and get in the market and start those share repurchases and spread them out over a longer period of time. As a result of that clearly we're in really good financial shape. We've been quite active looking at M&A. On the positive side, we've had most of our management team together now since June. So we've been able to use that to really reset our sights on M&A do a broader look at M&A targets. I would say we have not a short list but a pretty well-defined list of those things that we're interested in both from a bolt-on standpoint as well from a larger more transformational M&A standpoint. We do see the market starting to get better as people stock prices are improving. The discussions can get more serious. People are I guess feeling better about getting value for their assets. So the discussions are ongoing, but as we all know this takes some time. So I think yes it's probably well into 2021 before we'd be able to action anything.
Bob Koort: Great, thanks very much.
Lori Ryerkerk: Okay.
Operator: Our next question comes from the line of Duffy Fischer with Barclays. Please proceed with your question.
Duffy Fischer: Yes, good morning. First question is just kind of around the level of business today and when we think about that going into 2021. So if the world doesn't get better from here your Q1, EBITDA was down about 15% year-over-year; this quarter was down about 17%. Does the world feel about the same as it did in Q1 and that would be flat at this level of economic activity in Q1 next year to start out? Or how would you gauge that economic level today and what we should use that to model into 2021 for you guys?
Lori Ryerkerk: Yes. So let me just start. If we look at fourth quarter, we actually see our volumes and pricing being up in fourth quarter on kind of the base materials. But we still do expect that December seasonality. So in acetyls maybe seasonality is happening today. If we look at snow happening in some of the western and northern states in acetyls, we typically see some drop-off in demand for emulsions and VAM and powders as we see a slowdown in the construction industry due to weather. And in Engineered Materials, we typically see not so much of a volume drop but more of a margin mix effect as we see Western Hemisphere companies take time off over the holidays. That volume is usually replaced by a pickup in China and Asia, but usually a slightly lower margin. So we still expect some seasonality in Q4, but on a growing base if you will of increased volume and pricing. As we look to 2021, look we have a lot of uncertainty right now with COVID. Our expectation is that 2021, we will continue to see growth and recovery back to 2019 level some time in 2021, so continued recovery out of 2020. The reason we provided the guidance we did is, we don't know exactly what that looks like. And given all the uncertainties around COVID in the world today, it's kind of hard to call that. So that's why we called out our controllable actions the things that we know will add $1.25 EPS over today's earnings. So if you took your expected earnings for 2020 at $1.25 I'd say that's pretty much the floor of what we'd expect next year. Maybe to put it in perspective, if you assume Q3 demand levels would persist for all of 2021 that adds kind of another $1 on top of that for volume growth and price growth. So we are expecting a more positive 2021. But again, just uncertainties around COVID right now, what that might happen as we see it going on in Europe in the U.S. we just haven't really put out a definitive outlook for 2021.
Duffy Fischer: No. That's very helpful on that dollar comment. And then could you also line out what losing Polyplastic does as we anniversary that over the next three quarters? And is there anything else discrete like Polyplastic that we should think about taking out of 2021 when we go forward?
Lori Ryerkerk: Yes. I think the discrete things, Polyplastics call it roughly $10 million a quarter comes out starting now in the fourth quarter. So that needs to be taken into place. And then I think the really discrete things are what we called out in the earnings. So kind of $0.25 for productivity -- net productivity into next year; $0.50 for lower turnaround expense into next year that is for certain; and then another $0.50 for share repurchases half of that being for the repurchases we did in 2020 offset by Polyplastics and the other half being for share repurchases we plan to do in 2021.
Duffy Fischer: Great. Thank you, guys.
Lori Ryerkerk : Thank you.
Operator: Our next question comes from the line of Jeff Zekauskas with JPMorgan. Please proceed with your question.
Jeff Zekauskas: Thanks very much. I think year-to-date other activities in terms of EBITDA is maybe a benefit of about $46 million. And at least on an operating EBITDA basis, I think it was about $30 million in the quarter. Can you talk about what's behind those trends whether they will continue and whether your pension revaluation in the fourth quarter will be larger than it was last year?
Scott Richardson: Yes, Jeff. The biggest chunk of the year-over-year other activities is that pension income component which is in the neighborhood of between $25 million and $30 million of benefit year-over-year. So that's the largest benefit. You have seen a little bit of movement up and down in other from quarter-to-quarter this year, particularly kind of hitting the low point here in the third quarter largely driven by timing of some compensation and benefits payments. We'll see a little bit of an uptick think about Q4 being slightly higher than Q2 was as we finish out the year. And part of it is just timing of when some of the stuff has come through.  So in the end, as we look forward into next year, we expect a slight uptick in underlying expenses and that will more than likely be offset by the Q4 pension adjustment. I mean, a lot is going to depend upon what happens with markets. We expect interest rates right now to hold relatively low. And if things stay where they are then we'll have a slight benefit in pension income next year, which as I said will probably be offset by some income or some expense increases.
Jeff Zekauskas: Okay. And then in terms of your share repurchase, it sounds like you're going to execute it regardless of the Celanese price. Is that true? That is it doesn't matter whether it's at 100 or 120, you're going to spend the $500 million you've allocated this year and I guess a similar amount for next year. Is that fair?
Lori Ryerkerk : Well, yes, I think it's fair. I think the $500 million this year that we have -- or what we have remaining this year is really to remain accretive on our Polyplastics sale. So that will continue. And I would say for next year, the $400 million to $500 million we've allocated for next year is really the balance of cash flow following, CapEx following dividend payments. And Scott may want to comment further, but we generally like to remain in the market on a fairly steady basis regardless of the price and we don't really see that changing as we go into next year.
Scott Richardson: Yes, Jeff, consistency has been exactly how we've operated when it comes to repurchases over the year. We have been opportunistic from time-to-time, but we like to have kind of a set level that we remain in the market. And that's what we plan to do here in Q4 as well as into next year based on -- with those levels that we outlined.
Jeff Zekauskas: Okay. Great. Thank you so much.
Lori Ryerkerk : Thanks, Jeff.
Operator: Our next question comes from the line of Vincent Andrews with Morgan Stanley. Please proceed with your question.
Vincent Andrews : Thank you. On the elective surgery comments in Engineered Materials, I mean it sounds like this is a deferral not a destruction of demand and it's just a question of when folks are going to get back and do those procedures. But I just wanted to kind of understand the cadence of the destocking. I might have guessed it would happen more in 2Q versus 3Q and it obviously caused a big mix disruption.  And so maybe you can just bridge that with is this just something that once there's a vaccine those people are going to get back and have their hips or their knees or what have you done? And how far in advance do your customers then need to rebuild the inventory that they're taking out now?
Lori Ryerkerk : Yes. Great question, Vincent. What we really saw in 2Q were no elective procedures happening. And I think if you read Johnson & Johnson or anybody's release that would back that up. I mean just no elective surgery was happening in 2Q. So basically in second quarter everybody was sitting there with the inventories they had at the sudden shutdown in March of all elective surgeries across the U.S. which is the primary market this goes into.  And so we have seen in third quarter that elective surgeries are starting to rehappen. But what we're also hearing from our customers is people are using that inventory they've had sitting on the shelf waiting to see how fast this all comes back before starting to reorder.  Look it's not a long we carry inventory so it's not a long supply chain. They know we have it available. We are starting to see some slight uptick again in fourth quarter. So we fully expect this volume to come back across 2021 and 2022. I think it's not just the hospital being open. But again, these are generally older patients getting this. So it's also people being comfortable, either because there's a vaccine, or because they feel the virus is under control that people feel comfortable to go back to the hospital again to have these procedures.
Vincent Andrews: And then, if I could just follow up on the comments about manufacturing facilities fully staffed and operating to meet improved demand. Maybe more specifically in acetyl, what rates are you operating at in each region? As I recall, there was some an asset down in Europe and maybe some lower utilizations in Asia. So, just maybe a check-in on where those are would be helpful.
Lori Ryerkerk: Yes. So I would say for acetyls, I mean, all of our facilities are back up and running. We do have a short turnaround in Clear Lake. Actually that we're in at the moment. We had a short downtime in Singapore. So, a number of small maintenance downtimes that were planned into the numbers. But really, everything is up and running. All of our staff is back at full force. I would say, certainly for derivatives things are pretty much running at 100% to meet the demand. And in acid, we're running to meet demand as well. So we are fully staffed, fully ready to go and actually have seen for the last several months, the demand there is pretty much runs full. As we pointed out, I mean, for acetyls, we are just slightly under 2019 volumes already at this point in time.
Vincent Andrews: Okay. Very good. Thank you so much.
Operator: Our next question comes from the line of Mike Sison with Wells Fargo. Please proceed with your question.
Mike Sison: Hey. Good afternoon. Nice quarter. Lori, when you think about that dollar upside for 2021 does that assume that, the Acetyl Chain sort of the trends you're seeing now pricing at $300 and sort of the optionality focus downstream to emulsion and powders would stay in that range for that dollar?
Lori Ryerkerk: Yes. So I was really just sorting that out as an example Mark -- Mike, sorry, as the range that we would expect to see. So, third quarter kind of being our best quarter this year, if we saw that continued next year that would get you the dollar. There are many multiples of the ways to get there. I would say though, as we look to 2021, I mean, we are seeing an uptick in asset prices in China. Today, up closer to kind of the mid $300 mark up from the $300 per ton we were at in third quarter. So clearly that's an upside in acetyls. As I said, we're already getting close to 2019 volumes in acetyls. The story there is really, when do we see utilization get tight enough we start to see some price recovery, which we think we're starting to see now. Again, some seasonality expected in derivatives in December, but we would expect that that's come back in January.
Scott Richardson: Yes, Mike, I think just to add. I think what's really important as we think about that is really contribution margin. And so we may see pricing move up as raw materials move up. So we've seen a lot of our fundamental raws increase here over the last two or three months. And if that were to hold these prices hold, so we really look at contribution margin. So you kind of -- the current conditions were to continue as Lori mentioned in the third quarter and what we're seeing here in the fourth quarter that dollar is the level you'd see.
Mike Sison: Understood. And then, I think in your prepared remarks you talked about $400 million or so to be used for organic growth. Can you maybe talk about some of the areas that you're going to invest in to do -- to drive some growth for the next couple of years?
Lori Ryerkerk: Yes. So we're predicting $400 million to $415 million of CapEx for next year. We're still finalizing that number, but I feel comfortable we should be well north of $400 million. It is to support organic growth as well as our run and maintain level of maintenance, which we typically have in there at around $150 million to $175 million. So, included in that number is the restart of the acetic acid expansion at Clear Lake. That happens at the end of 2021. It seems like the Bishop GUR. We've previously announced some expansion in our VAE and VAM facilities around the globe. So that number is built in there as well. So a lot of things that you've already heard about, but just really seeing them start hitting heavier capital next year.
Scott Richardson: Yes. And our teams are pushing hard on cost reduction capital as well Mike. And so, we're working to accelerate projects as we talked about earlier this year. And so embedded in that number is capital needed for some of the productivity gains that we called out in the prepared remarks.
Mike Sison: Great. Thank you.
Operator: Our next question comes from the line from Hassan Ahmed with Alembic Global. Please proceed with your question.
Hassan Ahmed: Good afternoon, Lori. Sorry to bore you guys, but another question about the 2021 guide. I know you guys had said that, obviously as the EPS stands right now Q3 was the strongest quarter. But as I take a look at Q4 guidance the midpoint call it slightly north of $1.50. And then I sort of think about, the one-offs seasonality as well some of the turnarounds you come up with a number recurring, which is north of $2, right? So I'm just trying to understand, or get a better sense of run rate sort of EPS as one thinks about 2021. So I mean it seems barring those one-offs, one is already north of $2 and then you have $0.25 worth of productivity another $0.50 worth of buybacks. So it seems without much improvement from Q4 levels, one could hit maybe $9 in 2021. Am I thinking about this the right way?
Lori Ryerkerk: Yes I think that's right. If you look at where we are, we guided to in the year somewhere $7 or slightly above $7. If you add on the $1.25, that is based on controllable actions that we outlined in the comments that gets you to $8.25 plus maybe a little bit more. And then if you consider some level of recovery against, as if it were Q3 for the year, you can quickly then get yourself to $9 or a bit north of $9 next year. Again, our big caveat on that is just seeing the resurgence of COVID and not knowing what that's going to do to market in Q4 and into next year. That's why we haven't called out a specific level of recovery.
Hassan Ahmed: Of course, of course. Makes complete sense. And as a follow-up, you pointed out a $5 million sequential hit from Ibn Sina. Now, if I recall correctly, there tends to be a quarter's lag between what oil prices do and the impact of that being felt in your results in Ibn Sina. So is it fair to assume that Ibn Sina could be somewhat of a tailwind come Q4?
Lori Ryerkerk: Yes. So Ibn Sina is a quarter lag. So if you look at methanol prices they were very low levels in Q2. That's the additional $5 million sequential hit we saw this quarter from Ibn Sina. Now with methanol prices recovering, we would expect to recover that $5 million from Ibn Sina in fourth quarter.
Hassan Ahmed: Got it.
Scott Richardson: But you won't see it flow through Hassan on the equity earnings line because it will be offset by the roughly $10 million or so that comes out from Polyplastics. So we just look at those two together down $5 million Q3 to Q4.
Hassan Ahmed:
Hassan Ahmed: Absolutely. Thanks so much, guys.
Operator: Our next question comes from the line of P.J. Juvekar with Citi. Please proceed with your question.
P.J. Juvekar: Yes. Hi, good afternoon.
Lori Ryerkerk: Hi, P.J.
P.J. Juvekar: A question about your BlueRidge Cellulosic plastic. I think that's biodegradable plastic for food takeout, et cetera. How big is that market? And how much polyethylene or PET can you replace with cellulosics? And how do you price it? Do you charge a premium over let's say PE?
Lori Ryerkerk: Yes. So, let me describe it this way. The accessible market for this material could be huge. The reason we went ahead and made the marketing announcement is we're at that point now we need to get material out to customers. We need to give them the chance to try it out. It is a more costly product than PE. That's why this hasn't really been a factor in the market today. But we also know that there are customers out there who are looking for a sustainable biodegradable solution who are less sensitive to the price point. But that's what we really -- that's why we made the announcement. We really are in the process of getting material out to customers. We've had a few small purchase agreements made for people who are going through trials. But we need more time frankly to find out what the price point is on this and what the demand is really for replacement of more traditional PE products.
P.J. Juvekar: Okay. Thank you. And then secondly, as you bring more of your acetyls production in the U.S., you are more exposed to natural gas prices here. And maybe Scott you can comment about, are you concerned about rising natural gas prices because of lower associated gas production? And are you hedging any part of your natural gas purchases? Thank you.
Lori Ryerkerk: Yes. So look we don't expect rising natural gas prices to have a really material impact on our business. It does have the potential to slightly compress margins. But this is the value of our global network. The fact that we can choose where to make the acetic acid where to sell it, we can flex our production levels, we can flex further down into derivatives, which are less raw material sensitive. So we really are not expecting any material impact from this in the fourth quarter.
Scott Richardson: Yes P.J., we do take some short-term positions from time to time but nothing that I would say is long term in nature if you will.
P.J. Juvekar: Okay. Thank you.
Operator: Our next question comes from the line of Matthew DeYoe with Bank of America Merrill Lynch. Please proceed with your question.
Matthew DeYoe: Hi. So perhaps this isn't the case in EVs, but has COVID slowed the pace of innovation at CE or at the customers at all? I would think just given restrictions around staffing and R&D labs, you may just have a slowdown in the pace and implementation of new business?
Lori Ryerkerk: So great question, Matt. I would say, look, when we first went into COVID I mean certainly it had an impact as one I think people thought this was not a long-term thing and so things were just put on hold for a short period of time. I would say all of our customers and ourselves included have now adjusted to the new world of COVID. And if anything we see the pace of innovation pick up. Again most of our folks are back in office and facility, so we've been able to do a lot of things for our customers. We also see our customers coming back and we also see them getting more comfortable with doing more remotely. So, again, going back to my previous answer on wins we are still seeing projects win. We are seeing high-value project wins and we feel very excited about the pipeline of wins in Engineered Materials for next year and the innovation that's gone into that. It really was helpful for us that at the end of 2019, we really focused our strategy on what we considered a few emerging trends around 5G and electric vehicles and medical and pharma and sustainable solution. And that focus on that innovation and keeping that pipeline strong through COVID is really helping us now as we move into recovery and we see those areas continuing to emerge as winning sectors.
Matthew DeYoe: Okay. And maybe on the same light how long is it going to take you to fill out the new GUR capacity? And what EBITDA contribution of an expansion what would that look like? Because most of this is going to EV batteries too, maybe if you can provide a little bit more color there?
Lori Ryerkerk: Yes. So, the expansion that we announced in Bishop the 15 kt expansion should be online early 2022. It is really supplying our global network for electric vehicles. And at the current rate of growth in electric vehicles about 25% a year quite frankly that will be sold out the day it starts.
Operator: Our next question comes from the line of David Begleiter with Deutsche Bank. Please proceed with your question.
David Begleiter: Thank you. Lori just on 2021, you highlighted a number of tailwinds for next year. Are there any headwinds we should be thinking about for next year from a bridge standpoint?
Lori Ryerkerk: No, not really David. I mean for us the headwind is -- does something happen to the economy because of a reemergence of COVID and that's why we haven't called out any specific projections for us in terms of volume and price growth. But no we intentionally pulled a lot forward into 2020 this year in terms of facility changes inventory draws all of those things to take advantage of the low-demand environment. So, we really don't see any major headwinds going into next year.
David Begleiter: And just on EV, Lori where are your sales today for EV-related content? And where can they be do you think in three to five years?
Lori Ryerkerk: David, I don't think I have an exact number. I mean I would say GUR has other applications besides EV. EV is certainly the fastest growing of those applications. And we expect electric vehicles -- the market for electric vehicles of which we are a pretty significant player in the lithium-ion battery separators to grow at about 25% per year for the next five years.
Scott Richardson: Yes, it's a tough question David because there's a lot of applications where we have content on a vehicle that it doesn't matter if it's an ICE vehicle or if it's an EV vehicle. So, sometimes it's hard for us to partial that out. If we look at EV-specific applications, it's very low single-digits of the percentage of EM's revenue today.
David Begleiter: Thank you very much.
Operator: Our next question comes from the line of Ghansham Panjabi with Robert W. Baird. Please proceed with your question.
Ghansham Panjabi: Yes, thank you. Hi, good afternoon everybody.
Lori Ryerkerk: Hi Ghansham.
Ghansham Panjabi: Hey Lori would you be able to give us a sense as to what the volume exit run rates for the Engineered Materials segment was as you cycled into the fourth quarter? What are you sort of baking in for the fourth quarter specifically? And also I realize this is real time but what are you hearing from customers given the incremental lockdowns in Europe at this point?
Lori Ryerkerk: Overall for -- we expect probably 10% growth. That's though for the company. I'm not sure I really have it specified between EM and AC. But we expect about 10% growth before the impacts of seasonality for volume and price going from third quarter to fourth quarter. And I would say what we're hearing from our customers I mean just if you look at our order book that's probably the easiest way to talk about this. If you look at EM October is showing some modest improvement over Q3 the average of Q3. November is pretty consistent with that. December is -- we don't have as much view on that yet, but it's still showing that same kind of level of modest volume growth. But again we get some margin impact in December. And so far I would say we have not really seen any indications of demand destruction associated with this second wave of COVID either in Europe or in the U.S.
Ghansham Panjabi: Okay, great. Thank you so much. And then in terms of productivity, I mean you're calling out call it $0.25 in EPS 2021 versus 2020, net of the $35 million at the midpoint of temporary cost savings reversal. This year I think your productivity number is 200 plus. Is the $21 million drop on a year-over-year basis a function of just lower CapEx this year and then as you ramp that up, the trend line improves materially in 2022 or is there something else we're not considering?
Lori Ryerkerk: Well, I think you have to look -- I mean look 2020 was an exceptional year. We had exceptional headwinds. So we went into this year planning to get about $150 million of gross productivity. We bumped that up to challenge the organization to $200 million which we will get that this year. We also had another $30 million to $40 million of onetime costs. So if you look at next year in comparison, we're currently targeting for at least $100 million of productivity on a gross basis. That's actually pretty typical to the level we've achieved over the last few years, if you just -- if you don't look at 2020. So we put that target out there of $100 million. I'm quite sure we'll achieve that. It's a little -- it looks a little lower when you look on the EPS because you have to offset that with the onetime cost savings we had this year things like not running our facilities that's full and not having travel and those sorts of expenses. So we fully expect those costs will come back in 2021 as we see ourselves running closer to full. And so that discounts that EPS number a little bit. But actually the $100 million growth we have is pretty consistent with what we achieved most years. And of course, we'll push for more but $100 million is what we've baked in right now.
Scott Richardson: Yes Ghansham we did have the tow plant shutdown that occurred at the end of 2019 which was kind of a big item as we started 2020 that's in this year's number. And we don't have an item that large as we go into 2021.
Ghansham Panjabi: Okay, perfect. Thank you so much for referring Scott.
Operator: Our next question comes from the line of Kevin McCarthy with Vertical Research Partners. Please proceed with your question.
Kevin McCarthy: Yes, good afternoon. Now that you've closed the Polyplastics transaction what is your estimate of the after-tax proceeds would be the first part? And then secondly of the proceeds I think you mentioned you intend to use $400 million to repurchase shares just in the fourth quarter. And I was wondering as a practical matter, if you determined whether to do that via an ASR or open market repurchases?
Lori Ryerkerk: Yes. So for Polyplastics, we expect the after-tax proceeds to be something greater than $1.3 billion. We are repurchasing associated with that $500 million to assure there's -- the deal is accretive. We did do a portion of that in third quarter and we'll do the remainder in fourth quarter. Scott, you may want to answer the rest of the questions.
Scott Richardson: Yes. We -- our strategy Kevin on repurchases has been to do open market and that's our plan here in the fourth quarter, as well as for the $400 million to $500 million that we outlined for next year as well.
Kevin McCarthy: Okay. Great. And then Scott as a brief follow-up for you I just had a housekeeping question on free cash flow in the third quarter. Like you mentioned in the materials yesterday that it was $351 million, so apparently a strong number there, of that amount you said you used $184 million to return to shareholders. Can you speak to what the balance of the free cash flow was used for? It looked like net debt just declined a little bit.
Scott Richardson: Yes. We did end up -- we built a little bit of cash Kevin just mainly for uses geographic mix of where we needed cash. So cash on hand increased by roughly about $100 million from Q2 to Q3.
Kevin McCarthy: Okay, I will circle back. Thank you very much.
Operator: Our next question comes from the line of Arun Viswanathan with RBC Capital Markets. Please proceed with your question.
Arun Viswanathan: Thanks very much for taking my question. I guess I was just kind of curious if I could ask this a different way. Maybe if you could help us understand your own volume levels from an exit run rate standpoint in Q3. In both EM and AC on a percentage basis are you running maybe about 80% or 85% of normal in certain markets? Or how would you kind of characterize your exit run rates on volume in each segment?
Lori Ryerkerk: So I would characterize it acetyls we are just 1% below our 2019 levels. So I would characterize it as we are running pretty full everywhere again. Maybe we don't run every acetic acid plant full every day. That's not how we run it. It's not our strategy. But we -- our downstream derivatives everything is running full. I mean in Engineered Materials we are within 10% of where we were in this quarter in 2019 which is a pretty full quarter. So with the exception of things that are down for turnaround are starting to go down for turnaround like the IPH POM, I would say all of our facilities are running full.
Arun Viswanathan: Okay. Thanks. And then do you have any updates on your footprint optimization plan in AC and then also potentially adding some capacity in EM in China? Thanks.
Lori Ryerkerk: Yes. So as we said last quarter for -- we've talked about the acetic acid expansion in Clear Lake and optimization of our network to do that. We have delayed that expansion 18 months just in light of what lower oil prices and other things that make it attractive to continue to produce in other parts of the world. So that continues. So, no announced plans of what we're going to do with the rest of our capacity. And then in EM, we are continuing with a localization project in China. Again, a little bit of a change from where we were say half a year ago, and that originally we were looking at developing another site in China, in order to continue to expand both our polymerization, as well as our compounding and technology capabilities there. Due to some changes in Nanjing, which is where we have our other facilities we actually had some more land and facilities available to us. And so we've actually redesigned that project, if you will to take advantage of the efficiency of being able to expand on our existing locations. So those plans are continuing. You'll see more about that coming up. But those plans are continuing on a pace consistent with how we see the demand continuing to grow in China and the Asia region.
Arun Viswanathan: Excellent.
Operator: Our next question comes from the line of Alex Yefremov with KeyBanc Capital Markets. Please proceed with your question.
Alex Yefremov: Yes. Thank you. Good afternoon, everyone. You've recently announced a price increase in Engineered Materials of up to 10%. Could you tell us what's your expected realizations maybe over the next couple of quarters? And also ,could you discuss what led to this announcement?
Lori Ryerkerk: I'm sorry, Aleksey, I didn't hear the last part of your question.
Alex Yefremov: Just could you discuss, what led to this announcement? Do you see tightness in any product lines or something like that?
Lori Ryerkerk: Thanks. So, yes we just did announce the price increase. I mean, as with all these things they take a little while to work through. So, if you think about it, with increasing raw materials, with -- so especially ethylene, but also increasing raws like acetic acid and all those building block chemicals that go into polymers. We announced a price increase to try to get out in front of that to make sure we didn't have margin compression. So that's what goes behind the announcement. It takes us -- it does take some weeks or months to work through the price increase, depending on contracts, depending on everything else, but we do expect to see those price increases flow through as we move into the fourth quarter.
Alex Yefremov: Thank you, Lori. And also on Engineered Materials, your volumes were down 10% year-over-year. And you said in prepared remarks that automotive volumes were down 3% to 4% year-over-year. It also seems like appliances electronics are doing well. So is the minus 10%, primarily due to medical devices? This seems a bit tied relative to the weight of medical in your total volumes.
Lori Ryerkerk: Yes. So I would characterize that our volumes were down a little less than 10% year-on-year. If you look at all of our end markets from an industry basis that was -- that is still down 10% to 15%. So we're doing a little bit better, I would say than the end market. Auto we're down just 3%. Again, auto itself was down closer to 3% a little bit higher than that closer to 4%. We were helped thereby the fact that we think were aligned on good platforms like trucks and SUV in the U.S. and Germany, which has proven to be more robust as well as EV. Industrial is actually up a little bit year-on-year ,which has been a help for us. Electronics is pretty flat. But we are seeing appliances down year-on-year closer to that 10%. And medical, as we said is down about 15% currently year-on-year. So just really two sectors, I would say that have the biggest impact appliance and medical. But remember auto is the third, so even 3% down on auto is a fairly big impact for us.
Alex Yefremov: Make sense. Thank you.
Operator: Our next question comes from the line of Laurence Alexander with Jefferies. Please proceed with your question.
Laurence Alexander: Hi. Thanks. Two quick ones. First on EM, what is the culture around the growth platforms of the growth priorities i.e. should we expect to reshuffle every three to five years so that 5G might be replaced by a new growth theme? Or is it an organic evolution sort of bottoms-up driven by just the project mix? And secondly, on acetyls, should we expect a zero-carbon acetic acid production project in the next five years to be announced within the next five years? And if so would it have to be a greenfield? Or could you retrofit an existing facility?
Lori Ryerkerk: Yes. Great question. I would say on -- sorry, let me answer the last question, first, because I've already forgotten your first question, because I've got to think about the last one. So for acetyl, what I think in the next five years, I would not expect a zero-carbon technology. I think, it's difficult to do. I mean, there are always ways gets to zero carbon through purchase of credits et cetera. I'm not sure yet. That's what our customers demand. That said, we constantly are looking at ways to reduce the carbon footprint of our existing facilities, whether it be through energy efficiency projects, the purchase of solar energy for our project like we've just done a big contract in Clear Lake; the use of bio-based methanols, which have a greener footprint. So we're constantly looking at ways to reduce our carbon footprint. I would just say at this point in time, we're not on track for a zero-carbon plant again unless we see a big change in demand from our customers.
Scott Richardson: Yes. And on your first question Laurence about the Engineered Materials growth programs, I mean this is our model. We work this. We're constantly working with our customers and evolving those focused areas and where we have our resources on innovation to be able to adapt to the changing landscape. So yes, today it's things like 5G electric vehicles sustainable and recyclable polymers. As we go over the next -- and really it's something we're evaluating really every year is where should our focus be and continuing to adapt. So yes, three, four, five years from now we will be talking probably about some different things.
Lori Ryerkerk : I would just add to that though. I think this is a little different than we did say several years ago which was all bottoms-up. We've added this overlay of themes because what we found is by waiting for the customers to come to us, we weren't necessarily getting to the right customer early enough in the development process to be their supplier of choice. So it has to be both going forward. It has to be bottoms-up as well as us looking at the landscape in the future and say what are the emerging themes and how do we make sure we're there from the beginning not waiting for someone to come to us.
Laurence Alexander: All right. Thank you.
Lori Ryerkerk : You bet.
Operator: Our next question comes from the line of Bhavesh Lodaya with BMO Capital Markets. Please proceed with your question.
Bhavesh Lodaya : Hi, good afternoon, Lori. This is Bhavesh for John. So in terms of acetyls, we were a bit surprised to see acetic acid and VAM pricing being as soft as it was in China. And yet the industry itself seems to be running at pretty low downtime. So are you surprised at the high operating rates we are seeing right now? And then how should we think about the supply side of the equation as we think about next year?
Lori Ryerkerk : Yes. Bhavesh, you may remember, we called this out in our earnings call in second quarter, which was that we did expect modest volume recovery which we saw a bit better than expected. But we actually expected fairly flat pricing. And the reason was we said we didn't see the fundamentals in the industry to support more pricing. And I think in fact that's what we saw. So we did see an increase in demand in China almost a 10% Q-on-Q increase in demand, but we also saw outages fall by a third. So then more supply came on to basically meet that demand. And as a result utilization in China was pretty flat right at that 70% level. And that's why we didn't think we'd see pricing increase and in fact why we didn't see the pricing increase.  Now as we move towards the end of the third quarter and into the fourth quarter, we are seeing raw material prices come up. That's starting to push prices up. Generally that results in slightly better margins. But I would say to really see a good strong price recovery we're going -- and margin recovery we're just going to need to see that utilization especially in China continue to improve.
Bhavesh Lodaya : Got it. And then a quick question on, in terms of how the sales are. So what percentage of the acetyl business is being sold through the derivatives like emulsions and powders? And how should we think about maintaining that dynamic going forward? Because it certainly seems that that's smoothening out some of the volatility in the business.
Lori Ryerkerk : Yes, absolutely. And that's definitely part of our strategy which is to control as much of the chain as we can, so that we always have the choice not just geographically where to produce and where to sell, but also where in the chain to produce and sell. So if you look at our flexibility, we move anywhere from 40% to 60% of our acetic acid into downstream derivatives. And we flex that depending on what's more attractive.  And constantly, we try to -- we're continuing to build more VAM, more VAE, we bought Elotex. We continue to do things to give us more flexibility in that chain and more ability to move things around. I mean -- and a good example I think of that is, if you look this year -- this quarter sorry, third quarter, the amount of acid we sold into China was actually 20% less than what we sold in 2019 at the same time because of these kind of $300 per ton that wasn't attractive.  We moved that volume into derivatives in China, which had better margins and also into other regions of the world. And you can see that really as well in the total if you look at kind of the share of acetyl earnings that came from the very end of the chain emulsions and redispersibles last year that was around 15%. This year that's around 25%. So I think that just shows the -- just an example the flexibility that we have in the model to really move to where the better margins are whether it be geographically or acid versus derivatives.
Bhavesh Lodaya : Okay. Thanks for your time. Thanks.
Operator: Our next question comes from the line of Frank Mitsch with Fermium Research. Please proceed with your question.
Frank Mitsch: Thank you. Good afternoon and congrats Brandon on your new role. If I could just follow up on that acetic acid question in China. I just saw something in ACEs [ph] that showed operating rates reaching levels not seen in a year over 90%, seems rather high. So I guess are we ready to declare that China is fully back and we're restocking? Or how do we think about operating rates over 90% in China?
Lori Ryerkerk: Yes. I'd have to see the data Frank to be fair. There's a lot of different numbers reported. We are not seeing that kind of return in terms of utilization based on the numbers that we look at.
Scott Richardson: Dividend is strong Frank, I mean there's no doubt it has improved in China. I don't know if we're ready to call it that it's back if you will. But certainly, demand was strong at the end of the third quarter. And so far the order books, as we see things into November, do suggest that the end of the year in China in acetyls should be pretty good.
Frank Mitsch: Got you. Thank you. And Scott, I think Celanese had been talking about a 2020 free cash flow target, most recently of $800 million plus. Following this very strong third quarter, you're about $30 million to $40 million short. How do we think about 2020 free cash flow for the company? And I guess, a lot of the discussion has been on 2021 and you're going to see higher earnings from productivity turnarounds, recovery but you're also going to see higher CapEx. Can you talk about what your expectations are on the free cash flow side?
Scott Richardson: Yes. The $800 million to $900 million for this year is still a good number. We think we'll be in that range even with some tax payments that will be made relative to the transaction that we completed. So that's still a good range for this year. And then as we look forward into next year, a lot will depend honestly Frank, as to where demand is. But we think that working capital inventory levels will be kind of at the run rate where we need them as we end this year. So we shouldn't have a big working capital pickup that occurs next year. And so it should be pretty robust and we feel comfortable with where cash flow is going to be to call out that -- those repurchases of $400 million to $500 million for next year and we expect those to come from free cash flow.
Frank Mitsch: Great. Thank you so much.
Brandon Ayache: Doug, we’ll make the next question our last question.
Operator: Our last question comes from the line of Matthew Blair with Tudor Pickering Holt & Co. Please proceed with your question.
Matthew Blair: Hey, good morning. Lori, I was just hoping, I could circle back to the electric vehicle space. I mean, it really sounds like your opportunity is in the battery side. Do you have any other opportunities we should be thinking about? And also does the growth of EVs -- does that help your existing plastics business into the auto sector? Thanks.
Lori Ryerkerk: Yes. No there's -- we talk about lithium-ion battery separators because we are such a major player in that component and clearly that's the easy one to see. But frankly EVs in themselves are a great opportunity for the polymer space. I mean, so you think about the literally miles of electrical cabling, all of which needs connectors. That's a great opportunity for us. You think about how quiet EVs are, and the fact that now people don't want to hear all the squeaks and things that used to be covered up by the sound of the motor. So great application for things like POM that have really good tribology and can minimize the amount of wearing between components that lead to those squeaks. The electric vehicle has significantly more accessible polymer space if you will for us than a conventional vehicle, just in terms of because it needs to be light, in order to have range and all those things I just spoke about. So we actually have a lot of placements in electric vehicles for any range of components from interiors, to as I said, everything about the electrical system and more and more under the hood there as well. So it is a big space for us. We see -- continue to see it as a big opportunity and one as I said we've really been focused on since the end of 2019.
Matthew Blair: Okay. Thanks.
Operator: There's no further questions. I'd like to hand the call back to management for closing remarks.
Brandon Ayache: Thank you. We'd like to thank everybody for listening in today. As usual, we're available after the call for any further questions you might have. Doug, please go ahead and close out the call at this time.
Operator: Ladies and gentlemen, this does conclude today's teleconference. Thank you for your participation. You may disconnect your lines at this time and have a wonderful day.